Operator: Good day, ladies and gentlemen, and welcome to the Molson Coors Brewing Company 2009 first quarter earnings conference call. (Operator Instructions) Before we get started, I want to paraphrase the company’s Safe Harbor language -- some of the discussion today may include forward-looking statements. Actual results could differ materially from what the company projects today, so please refer to its most recent 10-K, 10-Q, and proxy filings for a more complete description of factors that could affect these projections. The company does not undertake to publicly update forward-looking statements, whether as a result of new information, future events, or otherwise. Regarding any non-U.S. GAAP measures that may be discussed during the call, please visit the company’s website, www.molsoncoors.com, for a reconciliation of these measures to the nearest U.S. GAAP results. I would now like to turn the conference over to your host, Mr. Peter Swinburn, President and Chief Executive Officer of Molson Coors Brewing Company. Sir, you may begin.
Peter Swinburn: Thank you, Matthew. Hello and welcome everybody and thanks for joining us today. With me on the call are: Stewart Glendinning, Molson Coors CFO; Leo Kiely, CEO of MillerCoors; Gavin Hattersley, CFO of MillerCoors; Kevin Boyce, CEO of Molson Canada; Mark Hunter, CEO of Molson Coors U.K.; Dave Perkins, President of Global Brand and Market Development; Sam Walker, Molson Coors Chief Legal Officer; Bill Waters, Molson Coors Controller; and Dave Dunnewald, Molson Coors Vice President of Investor Relations. On the call today, Stewart and I will take you through highlights of our first quarter 2009 results for Molson Coors Brewing Company, along with some perspective on the balance of 2009. As usual, we will include a review of financial results for MillerCoors. Then, we will open it up for questions. So let’s get started. In the first quarter, our strong brands, strategic initiatives, cost reductions and lower incentive compensation drove 75% profit growth for our company. We also achieved positive pricing and local-currency profit growth in each of our major markets. These positive factors more than offset continuing commodity inflation, unfavorable currency movements, a higher tax rate, and lower volume, especially in the U.K. Our highlights for the quarter show the importance of building brands and reducing costs. In the first quarter: we increased worldwide Coors Light volume more than 4% from a year ago; in Canada, net pricing grew as price increases across all major markets more than offset higher price discounting, primarily in the Quebec market; in the U.K., based on our value-driven strategy, which is underpinned by our brand building focus, we delivered strong pricing growth and benefited significantly from our contract brewing arrangement and the expansion of Magners draught cider; MillerCoors made great progress in the U.S. on both the top-line and bottom-line, with an improving growth profile achieved for the total portfolio and for key brands. At the same time, MillerCoors achieved underlying profit growth of nearly 50% versus the pro-forma result a year ago; we reduced corporate overhead and interest costs in the first quarter. So we are pleased with the bottom-line momentum we have achieved leading into the peak summer selling season, but we nonetheless remain cautious about the rest of the year due to uncertainty around currency exchange rates and beer market volume trends, plus continuing commodity inflation. So with that as an overview, I'll turn it over to Stewart to review first quarter financial results and trends and then we’ll cover the outlook for 2009. Stewart, over to you.
Stewart Glendinning: Thanks, Peter. Hello, everyone. I’ll start with first quarter financial highlights. Worldwide pro forma beer volume for Molson Coors declined 2.7% from a year ago, driven by industry weakness, primarily in the U.K. Meanwhile, our underlying pretax income increased 74% to $107.5 million. This increase was driven by earnings growth from MillerCoors and our U.K. business, along with lower long-term incentive compensation and interest expenses. Foreign currency movements decreased this pretax profit by approximately $9 million in the first quarter, driven by a 20% year-over-year depreciation of the Canadian Dollar and a 28% depreciation of the British Pound versus the U.S. Dollar. On the bottom line, underlying after-tax income of $98.8 million, or $0.53 per diluted share, was 75% higher than the first quarter a year ago. It is important to note that our first quarter underlying earnings exclude some one-time expenses, particularly related to MillerCoors and our Foster’s cash-settled total-return swap, as well net special charges of $10.2 million. These adjustments to our U.S. GAAP results are described in detail in the earnings release we distributed this morning. Also, our first quarter 2009 results reflect our adoption of new accounting standards for convertible debt (APB14) and “Non-controlling Interests in Financial Statements” (FAS160), as well as the adoption of hectoliters as our standard global volume measure. Prior period results presented have been adjusted to reflect these changes. Also, unless otherwise indicated, all financial results we share with you today will be in U.S. Dollars. In segment performance highlights, starting with Canada, our results benefited from positive net pricing, along with cost inflation impacts that were more than two-thirds lower than in the first quarter of 2008. As a result, underlying pretax earnings in local currency grew more than 13% versus a year ago. However, a 20% year-over-year decline in the Canadian dollar versus the U.S. dollar resulted in lower reported Canada earnings in the quarter. In March this year, we discontinued our consolidation of Brewers Retail Inc., or BRI, which operates the Ontario beer stores. We began accounting for BRI results using the equity method of accounting because we are no longer the majority holder of financial interests in BRI, primarily due to our ownership interest being reduced following Labatt’s acquisition of Lakeport Brewing in Ontario. This change will decrease underlying Canada pretax income and Corporate interest expense a similar amount, yielding no significant impact on underlying consolidated income. To provide more-comparable results, we will provide year-over-year changes that exclude the reporting effects in Canada of deconsolidating BRI and of setting up MillerCoors in 2008. So, let’s review the highlights.  Canada underlying pretax income was $58.1 million in the first quarter, 9.4% lower than a year ago, as gains in the base business were more than offset by unfavorable foreign exchange. The weakening Canadian dollar reduced Canada segment underlying income by approximately $12 million in the quarter. Canada underlying pretax income in local currency was approximately 13% higher than a year ago, including the benefit of currency hedges.  Our Canada sales to retail, or STRs, for the calendar quarter ended March 31st decreased 3.2% versus a year ago, driven by soft industry volumes in the first quarter, along with our decision to limit our participation in off-premise price discounting. STRs of our strategic brands, which represent more than 85% of our Canada volume, were stable, while sales of our non-supported brands declined. Strategic brand changes were led by double-digit growth of Coors Light and mid-single-digit growth by Carling. Partner import brands and Molson Canadian declined versus prior year.  Total Canadian beer industry sales to retail declined an estimated 1.2% in the calendar first quarter. Our estimated Canada market share decreased about three-quarters of a share point in the first quarter versus a year ago.  Our Canada sales volume was 1.8 million hectoliters in the first quarter, virtually unchanged from a year ago.  Comparable net sales per hectoliter increased 2% in local currency, driven by favorable net pricing, led by price increases across all major markets, partially offset by continued discounting activity.  Cost of goods sold per hectoliter in the first quarter increased 2.4% on a comparable basis in local currency. This increase was due to the net effect of three factors: one, higher commodity, packaging material, distribution and other input costs increased 2.5%; two, more than a third of these inflationary increases were offset by savings from our Resources for Growth initiatives; and three, an increase of about 1% was driven by increased overhead costs and ongoing product mix shifts.  Comparable marketing general & administrative expense in the quarter decreased almost 6% in local currency, driven by lower overhead costs and cycling higher long-term incentive compensation in the prior year.  Other income increased due to $2.7 million of pretax gains from foreign currency hedges. In the U.S., underlying U.S. segment pretax income increased 52% to $94.2 million in the first quarter, driven by strong underlying earnings growth by MillerCoors versus a year ago. Note that U.S. segment results include our share of first quarter 2009 MillerCoors net income and various equity income adjustments, which are then compared to the year-earlier results reported by our legacy Coors business. Looking specifically at the total MillerCoors P&L in U.S. GAAP, which is compared to the prior year pro forma MillerCoors results, underlying net income for the quarter, excluding special items, increased 46% to $216.4 million from the prior year pro forma result. This earnings growth was driven by accelerated synergy delivery, strong revenue growth, disciplined cost management, and the timing of marketing spending, despite continuing commodity cost pressures. MillerCoors domestic STRs increased 0.4% versus the prior year pro forma quarter due to strong results from five of the six focus brands, offset primarily by declines in Milwaukee’s Best and above-premium domestic brands. Domestic sales-to-wholesalers, STWs, declined 1% versus prior year, while total STWs declined 2%, driven by a double-digit reduction in contract brewing volumes. MillerCoors total net sales increased by 3.8% to $1.72 billion versus the prior pro forma quarter. Pricing remained strong in the first quarter as domestic net sales per hectoliter, excluding contract brewing and company-owned distributor sales, increased 5.6% based on 2008 price increases in the first and fourth quarters, and reductions in discounting. Pricing growth was lower than the previous quarter due to cycling of early 2008 general price increases. Though MillerCoors continues to realize supply chain related synergies and deliver savings from its cost leadership programs -- Resources For Growth and Project Unicorn -- cost of goods sold, COGS, per hectoliter increased by 5.3% due to significant increases in brewing and packaging materials related to high commodity costs last year.  For the first quarter, marketing, general and administrative costs decreased by 9.1%, driven by timing and management of marketing and sales spending and the accelerated timing of synergy delivery. Now moving to our U.K. business in the first quarter, we achieved underlying pretax profit for the quarter of $3.5 million, an improvement of $5.5 million versus 2008. Driven by strong pricing growth, the ramp-up of our contract brewing arrangement, and reduced marketing and pension costs, this represents our best first quarter profit in the U.K. in five years. The U.K. team achieved this improvement despite a 28% devaluation of the British Pound versus the U.S. dollar, which had a $2 million negative impact on U.K. pretax income. Looking at first quarter highlights: our U.K. owned-brand volume decreased 13.8% year-on-year, compared to a total industry decline of more than 8%, reflecting the impact of a weak economy in the U.K and our firm pricing stance with customers, especially in the off-premise, which is key to our strategy to grow margins. As a consequence of this stance, we lost market share in the quarter.  Comparable net sales per hectoliter of our own products increased 11.6% in local currency, with approximately three-fourths of this driven by higher pricing in all channels, as we benefited from price increases implemented in 2008, combined with an additional price increase toward the end of the first quarter this year. The balance of the revenue per hectoliter increase was the result of positive sales mix, partly the result of growth in draught Magners cider. This represents the ninth consecutive quarter of year-over-year pricing growth for our U.K. business. For the second consecutive quarter, we achieved pricing growth ahead of input inflation, resulting in improved gross margins. Comparable cost of goods sold per hectoliter of our own products increased 5.2% in local currency in the first quarter, primarily due to higher input cost inflation, partly offset by results of cost-reduction initiatives and lower pension costs.  Marketing, general & administrative expenses in the U.K. decreased 2.7% in local currency due to lower marketing and pension expense in the quarter. In the Global Markets and Corporate segment, our Global Markets team grew volume nearly 26% in the first quarter on a small base, driven by China and Europe. MG&A expense for Global Markets was $11 million in the quarter, an increase of $2.8 million versus a year ago.  On the other hand, Corporate G&A expense declined $7.8 million to $21.1 million, due to lower long-term incentive compensation this year.  First quarter Corporate interest expense declined $8.7 million from a year ago, with about $5 million of this reduction attributable to foreign currency movements and the balance due to the deconsolidation of BRI. Note that interest expense for the first quarter of 2008 has been increased $3.9 million retroactively in accordance with the new accounting rules for convertible debt.  Corporate Other Expense of $21.9 million was driven by a non-cash, mark-to-market expense related to the cash-settled total return swap we arranged with respect to Foster’s common stock.  The underlying loss for Global Markets and Corporate was $48.4 million pretax in the first quarter, a 22% decrease driven by lower Corporate G&A and interest expense this year. Now, highlights of our cost-reduction initiatives -- in the first quarter, we captured an incremental $18 million of cost savings as part of our three-year, $250 million Resources for Growth, or RFG, cost reduction initiative. These cost reductions include our 42% share of RFG cost savings initiatives that were assumed by MillerCoors, which equaled $3 million in the first quarter. In addition to RFG savings, MillerCoors delivered $50 million of incremental cost synergies in quarter. Moving beyond operating business unit performance, our first quarter effective tax rate was negative 2% on a reported basis and positive 8% on an underlying basis. These rates are lower than our expected annual rate for 2009 because of the favorable resolution of unrecognized tax positions in the quarter.  The first quarter is generally a cash-use quarter because of the seasonality of the beer business. Free cash flow for the first quarter reflected a net cash use of $80 million, which was made up of $5 million of operating cash flow, plus $2 million of proceeds from asset sales, minus capital spending of $20 million and $67 million of cash contributed to MillerCoors. This free cash flow result was $88 million improved versus the first quarter of 2008 due to improved operating cash flow from the U.S. this year.  Total owned debt at the end of the first quarter was $1.57 billion. Cash and cash equivalents totaled $94 million at the end of the first quarter, resulting in owned net debt of $1.47 billion.  Looking forward, we continue to expect full-year 2009 marketing, general & administrative expense in the Corporate and Global Markets segment of approximately $150 million, plus or minus 5%.  We anticipate full-year corporate interest expense of approximately $85 million to $90 million at today’s foreign exchange rates, including the net effect of new accounting rules for convertible debt and the deconsolidation of BRI.  Turning to our effective tax rate, we continue to anticipate that our underlying tax rates for full-year 2009 will be in the range of 16% to 20%, assuming no further changes in tax laws. Within the quarters, however, our tax rate will be volatile. We currently anticipate underlying tax rates in the range of 24% to 28% in the second and third quarters and 4% to 8% for the fourth quarter this year.  Our capital spending outlook for 2009 continues to be approximately $140 million. As usual, this guidance excludes MillerCoors.  Right -- at this point, I'll turn it back over to Peter for a look ahead to 2009. Peter.
Peter Swinburn: Thanks, Stewart. In 2009, we continue to focus on building strong brands, reducing costs in each of our businesses, and generating cash. In Canada, we made a conscious decision not to fully participate in some of the price discounting in Quebec during the first quarter, and this adversely affected our volume and share trends in that province. For the remainder of the year, we are confident that we can manage the business in a way that keeps us competitive in all markets, while generating sufficient profit to enable us to continue ongoing investment in our brands. In the U.S., the MillerCoors integration is proceeding well. Specifically, the integration of business processes and systems is enabling faster local decision-making and streamlining of costs. The MillerCoors network optimization project is ahead of schedule, as are the planned brewing production relocations, with more than 60% completed by the beginning of April. In addition, construction of the new MillerCoors headquarters in Chicago is nearing completion, with an expected occupancy date in the third quarter of 2009. Finally, the U.S. team is aggressively working to deliver against its stated goal of achieving $500 million of cost savings in the first three years of combined operations. Our top priority in the U.S. is getting Miller Lite growing again. We believe that by focusing on taste, MillerCoors’ new marketing program can get this great brand back on the path toward growth. And as we enter the key summer selling season, MillerCoors plans to ramp up marketing spending on our brand portfolio to align package and product innovation with marketing messages that drive consumer trial, repeat and loyalty. The team will continue to accelerate Coors Light growth by driving its Rocky Mountain cold refreshment message with new marketing and cold activated cans. At retail, MillerCoors will have a number of major marketing programs lined up with chain partners to drive sales this summer. In the U.K., we anticipate a challenging trading environment to continue throughout 2009 due to a weak local economy, with commodity inflation also being a challenge. However, we believe that our U.K. business is now on much firmer footing as it benefits from our contract brewing arrangement, the Magners cider agreement, supplier renegotiations, and pricing negotiations with customers. Moreover, our brand strength has consistently supported positive pricing, and we implemented a 2009 price increase in March. As a brand-led company, we continue to grow our investments behind our brands on a per-hectoliter basis. Looking forward, we anticipate that performance comparisons with prior year will become more challenging in the second half of 2009 in the U.K., as we cycle the ramp up of our strategic initiatives in the second half of 2008. Following are the most recent volume results for each of our businesses early in the second quarter.  In Canada, our comparable sales to retail in April decreased slightly versus a year ago.  In the first four weeks of the second quarter, our U.K. sales to retail have increased at a low-single-digit rate due to the year-over-year change in the timing of the Easter holiday, along with improving weather. In the first four weeks of the second quarter in the U.S., MillerCoors has grown sales to retail at a low-single-digit rate compared to last year. In the area of cost outlook, by business: in Canada, we continue to expect our comparable 2009 cost of goods per hectoliter in local currency to increase at a low-single-digit rate versus 2008 due to inflationary pressures, partially offset by anticipated reductions in certain commodity and fuel inflation rates, as well as cost savings from our Resources for Growth initiatives.  Our U.K. team is targeting substantial reductions as part of the Resources for Growth program, driven by supplier negotiations and operational efficiencies. In a challenging industry volume environment, our view for the full year 2009 is that U.K. owned-brand cost of goods will increase at a high-single-digit rate per hectoliter in local currency. This is driven by mid-single-digit inflation and production mix changes related to growth in contract brewing and Magners cider. These mix changes also increase net sales per hectoliter and are a benefit to gross profit.  In the U.S., the MillerCoors team further accelerated synergy delivery timing, realizing $50 million in the first quarter, including some savings originally planned for the second quarter. MillerCoors has now realized $78 million in synergy savings since being formed on July 1, 2008. The U.S. team expects to realize $128 million of synergies by June 30 -- more than 2.5 times its original goal for the first 12 months of operations. As a result, MillerCoors is more confident than ever that it can nail the synergies commitment on time, and the team is already developing the next generation of cost savings, with details to follow later this year. Finally, with regard to foreign currency impacts, if the Canadian Dollar and British Pound stay where they are today relative to the U.S. Dollar, we would face substantial currency translation challenges in the second and third quarters of 2009. At current rates, Canadian Dollar devaluation would present a Canada pretax earnings headwind of approximately 15% to 20% of prior-year earnings in each of the second and third quarters of 2009, with minimal impact in the fourth quarter. It is important to note that we expect our debt structure and currency hedging programs to offset about 50% to 60% of this impact on pretax earnings in 2009.  Also, at current rates, British Pound devaluation would negatively impact our U.K. pretax earnings by about 20% to 25% in the second and third quarters of the year, with a 5% to 10% impact in the 4th quarter. We have no significant currency hedges focused on the British Pound exposure. To summarize our results and discussion today, in the first quarter, our strong brands, strategic initiatives, cost reductions and lower incentive compensation drove 75% profit growth for our company. We also achieved positive pricing and local-currency profit growth in each of our major markets. These positive factors more than offset continuing commodity inflation, unfavorable currency movements, a higher tax rate, and lower volume, particularly in the U.K. We are pleased with our bottom-line momentum that we have achieved leading into the peak summer selling season, but we remain cautious about the rest of the year due to uncertainty around currency exchange rates and beer market volume trends, plus continuing commodity price inflation. For the balance of 2009, we will remain keenly focused on the fundamentals that drive results in this business. Our priorities are to build great beer brands and grow revenue per hectoliter; deliver cost savings on or ahead of our commitments; generate substantial free cash; and grow long-term returns to Molson Coors shareholders. Now, before we start the Q&A portion of the call, a quick comment -- our prepared remarks will be on our website for your reference within a couple of hours this afternoon. Also, at 2:00 p.m. Eastern Time today, our Investor Relations team led by Dave Dunnewald will host a follow-up conference call, essentially a working session for analysts and investors who have additional questions regarding our quarterly results. That call will also be available for you to hear via web cast and recorded replay on our website. So at this point, Matthew, can we open it up for questions, please?
Operator: (Operator Instructions) Our first question comes from Christine Farkas from Merrill Lynch. Your line is open.
Christine Farkas - Merrill Lynch: Thank you very much. I am hoping I can get a little bit more color on Canada. We are hearing, Kevin, a little bit more widespread discounting occurring in Quebec and it’s of course hard to read across all the retailers what the depth of that is. Can you comment on the environment there and how it looks in other provinces? And just on the back of that, is there an Alberta tax that could impact industry volumes coming up? Thank you.
Kevin T. Boyce: Thanks, Christine. Let’s start with Quebec where I’d say it’s fair to say in the last three to four months, it’s extended a little bit more into the independent trade. Having said that, there has been, as you are familiar with, there is a minimum price change every year in Quebec, so the minimum price has actually been adjusted up. And we took a fairly conservative approach early in the quarter, certainly as we went into March and April we’ve adjusted our plans and we’ve seen a nice bounce back in volume. So as we look forward, we’ve got we believe the right programs in place. We’ve adjusted our costs where appropriate. We continue to have good support, marketing, and sales support in our brands, so we are confident that the plans we have in place are the right mix of both driving equity but also being price competitive in that marketplace. If you look across the rest of the provinces, I’d say the general comment, pricing has been taken, that maybe discounting is a little bit more aggressive, a little bit in the west but I would have to say nothing in the context of what I think people are looking at with respect to Quebec and yes, there is a tax change in Alberta that was just enacted in the latest budget.
Christine Farkas - Merrill Lynch: Now can you help me, Kevin, with the currency? I’m under the impression there were some natural hedges but we are seeing a 20% hit on your profit line and also about a 20% hit on total TAP pretax, so I am trying to understand where there might have been a benefit. Can you give us the top line hit on Canadian FX and maybe how the rest of the P&L might have offset some of that increase?
Kevin T. Boyce: Christine, if it’s all right with you, can I switch that over to Stewart to answer that?
Christine Farkas - Merrill Lynch: Certainly, certainly.
Stewart Glendinning: Christine, just to highlight, there was about an $11.7 million FX impact on Canadian earnings for the quarter. Some of our hedges which we have in place actually flow through the Canadian P&L so that you can more easily see the net impact in Canada. There is a $2.7 million benefit coming through that P&L in the first quarter. It’s also important to realize that since a bunch of our debt is Canadian dollar denominated, we actually save on interest costs when the Canadian dollar depreciates, so as Peter mentioned, we’ve got about 50% to 60% of the Canadian earnings covered but there’s still a fair bit of exposure.
Christine Farkas - Merrill Lynch: Okay, great. And last question, if I could, Peter, on your holdings in Fosters, I know there was a mark-to-market hit. Can you talk about the losses or the mark-to-market losses to date and if your view on this financial instrument or strategic interest has changed at all?
Peter Swinburn: Yes, certainly, Christine. Our view on Fosters has been pretty consistent and it’s not going to change, and that is that we like the flexibility of the cash settle swap. We reserve our right to either increase that or decrease it or stay the same and so really nothing has changed as far as we are concerned on Fosters.
Christine Farkas - Merrill Lynch: Thank you very much.
Operator: Thank you. Our next question comes from Carlos Laboy from Credit Suisse.
Carlos Laboy - Credit Suisse: Good morning, everyone. Peter, I was hoping you could expand a little bit on that previous question -- with [inaudible] arrangement, Labatt looks like it’s renewed it for at least another year. Can you expand on your market response in terms of pricing, in terms of price caps for Coors Light in particular in Quebec? And I guess the big concern is, is there enough cost to cut out that you don’t have to cut into market spending for Coors Light?
Peter Swinburn: I’ll let Kevin give the details, Carlos, but I think just as a sort of a bit of context, if you like -- we have always taken the view in Quebec that we have a strong brand portfolio that will always be successful on a relative price platform and I think we’ve proven that every time we step back in the market, so we are very comfortable about the strength of our brands in that market. And as I said, I think in the preamble, we always have had and will continue to have a bias to invest behind our brands, both in good and bad times, and we are not going to come off that. So I don’t think we are going to talk about the detail about what we are doing, but I’ll pass it over to Kevin just to give maybe a slightly more detailed perspective on Quebec. So Kevin.
Kevin T. Boyce: Thanks, Peter. Carlos, I think your first question was with respect to did Labatt’s renew their deal or was a new deal put in place at Loblaws, and yeah, our understanding is there probably is another year. I would say that we are back in a more meaningful way in Loblaws, so we will see a different trend this year and that we looked at as positive. When you look at -- I think your second question about are we confident we can take out the costs so that we are not going to have to alter our brand support, the programs that we’ve identified, both in Quebec and elsewhere, we’re confident that we’ve got the appropriate balance and that we will be able to put the amount of money that we think is necessary behind all of our brands in Quebec and indeed nationally.
Carlos Laboy - Credit Suisse: But have you had to cut back market spend though?
Kevin T. Boyce: Market spend in the first quarter is pretty flattish with a year ago.
Carlos Laboy - Credit Suisse: Thank you.
Operator: Thank you. (Operator Instructions) Our next question in queue is from Judy Hong from Goldman Sachs. Your line is open.
Judy Hong - Goldman Sachs: Thanks. Kevin, just following up on Canada again, I think you had said the SPRs actually were down slightly in April, which suggests a sequential improvement in the first quarter. Is this driven by just more discounting or has the industry gotten a little bit better as we enter into the second quarter here?
Kevin T. Boyce: If you look, there’s been two different aspects over the last four months. The first two months, January and February, were fairly soft. If you just took March and April together, March and April the industry has grown, as have our shipments. So clearly a bit of a soft start. There’s a whole bunch of reasons -- leap year -- that we can all get into but I would say of late that the industry is better. I think there’s still concern about the economy and we are seeing some trading down and a little bit -- a touch of softness here and there but when I talk about a touch, I’m really talking about some very modest changes and certainly we are encouraged by what we’ve seen in March and April.
Judy Hong - Goldman Sachs: Okay, and then just on pricing, it sounds like as the quarter progressed, you’ve become a little more aggressive on discounting. You’ve talked about getting back in Loblaws with more discounting there. Is the 2% pricing in the first quarter, is that number going to moderate as the year progresses in terms of your initiatives with some of these discounting activities?
Kevin T. Boyce: I think it’s important to remember that when you compare to a year ago on the first quarter, by and large the pricing activity in Quebec was much more benign, so as we go into the rest of the year, we will be cycling some of the spend that we did in the last nine months and specifically in the summer time. I don’t fee comfortable giving you an estimate going forward but I think that was important background to get into, and a lot will depend on a combination of how everybody is doing in the marketplace, what the industry is performing like and to be honest, I don’t think the weather last summer was very good, particularly on the weekends. So as we look forward, we’d love some nice warm long weekend weather.
Judy Hong - Goldman Sachs: Okay, and then Peter or Stewart, if we look at your tax rate, obviously the long-term tax rate is pretty low compared to other companies. To what extent would the current proposal by the administration in terms of changing the foreign taxes could have an impact on your long-term tax rate?
Peter Swinburn: Okay, well, two pieces there. I think given the current laws, we feel pretty confident that the guidance we have given you with respect to our tax rates is good. With respect to some of the recent announcements, we really haven’t seen enough detail yet to be able to opine on the impacts specifically on our numbers and once we do see that detail, we will be able to share that with you.
Judy Hong - Goldman Sachs: Okay. And then my last question, Stewart, just given the strong performance that you have seen in the first quarter, is there any changes to your cash flow outlook for the full year?
Stewart Glendinning: No, we are going to continue to hold to the numbers that we’ve given you already. I think that’s the place we feel comfortable with.
Judy Hong - Goldman Sachs: Okay. Thanks.
Operator: Thank you. Currently I have no other questions in queue. (Operator Instructions) Our next question is from Mark Swartzberg of Stifel Nicolaus.
Mark Swartzberg - Stifel Nicolaus: Thanks. Good morning, everyone. Canada is the topic du jour, I guess. A couple of more questions there -- the shipment number, flat STRs, down on the order of three -- what were the causes for that spread and what do you think that implies for the relationship in the second quarter and looking out?
Kevin T. Boyce: Mark, thanks for the question. Most of the shift was actually in the sub period between Christmas and New Year’s, so there was a big shift versus the year before and that’s the majority of the change, if you look at the biggest single drivers. That’s the majority of the change, so that shouldn’t affect the future periods, if you like.
Mark Swartzberg - Stifel Nicolaus: Got it. Great.
Unidentified Participant: You know, Mark, what Kevin is saying by step period is that’s the -- potentially the difference in calendars for STWs versus the calendar for STRs, and particularly when you have a holiday like New Year’s or Canada Day right on the crossover of a quarter, then you’ll get some shifting there. What he’s saying is it’s not primarily an inventory issue.
Mark Swartzberg - Stifel Nicolaus: Got it. That’s helpful. And then also, more on the financial side -- I don’t know if this is for Stewart but you gave us the for-ex hedge benefit in the other income line, the $2.7 million. Was there also a benefit in Canadian COGS and if so, can you give us that amount?
Stewart Glendinning: We haven’t provided any guidance on COGS, Mark.
Mark Swartzberg - Stifel Nicolaus: Okay. Is it fair to say there was a benefit?
Stewart Glendinning: We really haven’t gone into any of the details around that. I think what we have shared with you is the $2.7 million, specifically in our specific hedge agreements. You are seeing that flow through there. I can’t give you any specifics on the COGS.
Mark Swartzberg - Stifel Nicolaus: Okay. And then back on the tax rate, could you just repeat what you said in your prepared remarks about how you see that laying out in the second and third quarter?
Stewart Glendinning: If you looked at our -- at the biggest impact on the volatility of our tax rates, it’s related to the FIN-48 provisions, which requires us to put some of those liabilities on our books. As they unwind, that creates a lot of volatility in the numbers. If you then look at our number this quarter, it’s obviously -- it’s negative. It’s very low because of the unwinding of some of that, we expect the range for the year will follow the guidance that we’ve given you but specifically to your question, you will see in quarters two and three that -- two and three the rate will go up, we think somewhere between 24% and 28%, and then we expect that Q4 we’ll see that come back down again to somewhere between 4% and 8%. Is that helpful?
Mark Swartzberg - Stifel Nicolaus: Yes. Thanks, Stewart. Thanks, Kevin.
Operator: Thank you. Our next question comes from John Faucher of J.P. Morgan. Your line is open.
John Faucher - J.P. Morgan: Yes, good morning, everyone. I was wondering if I could ask a question about the U.S. business. You talked a little bit about the potential for improvement in Miller Lite, so can you talk a little bit about the order of magnitude expectation there? And then also, as I look at successful campaigns in light beer over the past decade or so, it seems to be more sort of specific attribute focused, whether it’s low carb or cold, what have you. And I guess what’s going to be different about taste this time, which doesn’t really seem like it’s been a big motivating factor in this segment over the past decade or so? Thanks.
Leo Kiely: Tom, are you on the line?
Unidentified Participant: Yes.
Leo Kiely: Do you want to take that?
Unidentified Participant: Sure. You know, the light trend improved from around minus 7 to minus 4.5 in the first quarter versus fourth quarter last year and as you know, we shed some rented volume, particularly out in the west, and did a pretty good job of net revenue management with Miller Lite. In fact, for the last two quarters, the net revenue per barrel on Miller Lite has been the strongest in our portfolio. And that’s been the result of letting this portfolio work and finding the right balance in each of the markets. Now, you know, of course minus 4.5 is below our original aspirations but the trend line is getting better and our April numbers are even better and sales of that Miller Lite pint and aluminum pint have been accelerating, so we are ambitious for the brand and we expect the trend to continue to improve throughout the year. In terms of your point about the evolution of light beers, you know, functionality combined with an emotional reason to buy tends to work, and you are right -- a functional point of difference has worked. Miller Lite has had great taste since its inception and we brought that back to life with a real reason to believe called Triple Hopps Brewing, which we are seeding, and we’ll move that campaign on through with some innovation around the taste, the taste protector lid and some other innovations in the package this summer and we’ll follow it up and balance it out with some more emotionally driven advertising, which we showed our distributors in March called taste greatness. So we think we’ll have a good combination of functional benefits and emotional reasons to drink. But most of this decline in Miller Lite is really not about the change in positioning -- it’s really about a change in strategy and how we have Miller Lite work with the portfolio -- how it and Coors Light and MGD64 work together to create a portfolio of really strong light beers with clear positions. So that’s the context I’d hope you take Miller Lite’s position in.
John Faucher - J.P. Morgan: Great. Thanks.
Operator: Thank you. Our next question is from Christine Farkas of Merrill Lynch. Your line is open.
Christine Farkas - Merrill Lynch: Thank you and thanks for taking the follow-up. Stewart, I’m wondering if you can help me with the joint venture accounting, if you will. It looks like on your cash flow, there was about an 86% pay-out of those distributions into cash. Can you maybe help us with how much CapEx there was in the JV, and depreciation? I believe that flowed through that line -- just help me reconcile that. And then on the back of that, the depreciation that Molson Coors adds below the line in terms of their share of the MillerCoors earnings is very volatile. We’ve seen $3 million added back in the first quarter -- very different than the $36 million added back in the second half of ’08. How does that look for the rest of the year and once we anniversary the depreciation, does that line go to zero? Thank you.
Stewart Glendinning: Let’s take the first part of your question and I think we will just need to revisit the second part, but if you first look at our cash distribution arrangements with the joint venture, we basically are receiving payments from the joint venture which closely correspond to their EBITDA, plus or minus any changes that come through in working capital, so you will see that’s the 80 or so, $84 million that we took in this period, all right?
Christine Farkas - Merrill Lynch: Okay.
Stewart Glendinning: So that does closely correspond and obviously there’s some working capital impact there. The cash that went after MillerCoors, $67 million, is reflective of the various CapEx needs that MillerCoors had and that will encompass both of their synergy [target] spending as well as their regular CapEx requirements. So hopefully that answers the first part. I’m sorry, can you give me the second part of your question again?
Christine Farkas - Merrill Lynch: Sure but on the first part, the cash that went out, the $67 million, that’s not included in the distribution line or in your CapEx line on your cash flow statement, correct?
Stewart Glendinning: Well, we -- it will show up in two places. I mean, the cash flow that we get back from them will show up in our cash flows from operating activities, so that’s $84 million coming in. The CapEx, the cash flows going back to them will go out as cash flows from investing activities.
Christine Farkas - Merrill Lynch: Okay, so that $67 million includes CapEx that you would’ve put into in the quarter?
Stewart Glendinning: That is correct.
Christine Farkas - Merrill Lynch: Okay, great. And then the second part was really just about the depreciation below the line of what you add back in, pulling into Molson Coors, the depreciation number was near $30 million in the fourth quarter but $3 million in the first. I’m just wondering how to model that going forward.
Stewart Glendinning: Yeah, you’re talking about with respect to MillerCoors?
Christine Farkas - Merrill Lynch: That’s right, for MillerCoors and then pulling it into -- right, for MillerCoors and then the Molson Coors share.
Stewart Glendinning: We actually don’t have that in any separate lines, so the only two lines that will be affected relative to MillerCoors’ cash flow were the two that I just highlighted.
Christine Farkas - Merrill Lynch: Okay. Thanks for that.
Operator: Thank you. (Operator Instructions) I’m showing no further questions from the phone lines.
Peter Swinburn: Okay. Thank you very much, Matthew. Thank you, everyone, for joining us and thanks for your interest in Molson Coors. We will no doubt speak to some of you in the interim, but probably mostly we will speak to you at the next quarter results. Thanks very much. Thank you, Matthew.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s call. This does conclude the program and you may now disconnect.